Operator: Welcome and thank you for standing by to The Greenbrier Companies' Fourth Quarter and Fiscal Year End 2020 Earnings Conference Call. Following today's presentation, we will conduct a question-and-answer session. Each analyst should limit themselves to only two questions. Until that time, all lines will be in a listen-only mode. At the request of The Greenbrier Companies, this conference call is being recorded for instant replay purposes. At this time, I would like to turn the conference over to Mr. Justin Roberts, Vice President and Treasurer. Mr. Roberts, you may begin.
Justin Roberts: That sounds great.
Operator: Sir, you're live. You may go ahead.
Justin Roberts: Thank you, Jill, and good morning everyone. Sorry for the delayed start. We are having some technical difficulties with our provider but such is life in the time of COVID and everything else seems to be going on. Welcome to our fourth quarter and fiscal 2020 conference call. On today's call, I'm joined by Greenbrier's Chairman and CEO, Bill Furman; Lorie Tekorius, President and Chief Operating Officer; and Adrian Downes, Senior Vice President and Chief Financial Officer. They will provide an update on Greenbrier's performance in the quarter and year and our near term priorities. Following our introductory remarks, we will open up the call for questions. In addition to the press release issued this morning, additional financial information and key metrics can be found in a slide presentation posted today on the IR section of our website. Matters discussed on today's conference call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Throughout our discussion today, we will describe some of the important factors that could cause Greenbrier's actual results and beyond to differ materially from those expressed in any forward-looking statements made by or on behalf of Greenbrier. And with that I will pass it off to Bill.
Bill Furman: Thank you, Justin. Good morning. I'd like to start out by saying the obvious that we're living in very interesting times. And to point out the Greenbrier brings a 40-year track record into 2020. And this is not the first time we've confronted unusual times. We've designed flexibility into our businesses by growing liquidity to $1 billion since March. And Greenbrier has a time tested approach to market uncertainty. Our Greenbrier management team is deploying that and has deployed that proven strategy during the past six months. Greenbrier launched a rapid response to COVID-19. We dramatically improved liquidity including controlling costs appropriate to current business conditions. These actions position the company well for the current market. And we have a strong capability to meet demand as it resumes over time. We are very grateful for our employees' dedicated - continued dedication and also that of our customers, suppliers and other constituencies. We've all been impacted by the pandemic which has created not just concerns about personal health and safety but also questions about our collective future, social isolation, climate concerns, wildfires in the West, and unrest over social injustice, an election year, all have been put together in this soup which has created a malaise we have to fight every day. Greenbrier's global workforce has been working under very challenging conditions. We care about our employees, our customers, and our communities. We launched a number of important programs during the year related to COVID-19 safety community outreach diversity and inclusion including environmental stewardship. These are all part of our effort to address the uncertainty and to bring stability and optimism for the future. Unfortunately COVID-19 still has a grip on our nation and on much of the world. This may continue for some time. Greenbrier's experience with COVID-19 has followed the pattern seen throughout the U.S. and the world with declining cases and more recently an optimism during the summer months and a more recent upward spike. We continue to monitor the health and well-being of our global workforce, and we have active protocols in place for potential COVID-19 exposures and clusters to be reported and act upon immediately as they may appear. Each of our manufacturing plants is meeting or exceeding CDC requirements and recommendations as we protect our employees operating as an essential industry while maintaining our other business activities. Our requirements are being enforced - enforced by management with a high degree of discipline. Despite high community spread in some areas and in fact in many areas where we operate around the world only a small percentage of our total global workforce has tested positively. This is relatively good news. And it's due in part to our policy of rapid response strong health policies designed to prevent outbreaks and to address them quickly if they occur within our factories. Our workforce exceeded 17,000 at the end of 2019 and reduced to 15,000 employees in early March and after rightsizing it stands just over 10,500 people today. Throughout that period and since March, we've had an average of about 13,500 employees. I am saddened to report that four families have been affected by fatalities among our worst workforce. But on that population, we have the blessing of only having had four. Three employees residing in Mexico and one in Romania died after testing positive for the virus. Three out of the four had pre-existing conditions, but one was a healthy person in his 40s. Augustine Rodrigues passed away earlier this month. In August Greenbrier also lost Octavio Perez, John Lorenzo Gonzalez, and Constantine [indiscernible]. Each of them is in our thoughts and we are aiding their families. Our remembrance of them includes a reminder about the need for all of us to remain diligent and vigilant with our own health and safety practices to practice safe distancing, wear masks and to be alert to these - this medical crisis everywhere we go. During the last earnings call, I discussed the core values that have shaped Greenbrier over the last 40 years as well as our ongoing commitment to support positive change. In September, we launched our formal ideal commitment which stands for inclusion, diversity, equity, access and leadership. Other programs include an enhanced environmental, social and governance ESG program and report. Greenbrier's approach to ESG involves a number of steps to promote environmental responsibility. These include enterprise-wide reporting on Greenbrier-related greenhouse gas emissions, tracking air emissions, monitoring and conserving water consumption and concern and monitoring of the cleanliness of water runoff. We will continue to drive practices that serve our employees and the communities where we operate and in the environment. You can learn more about our work and the full ESG report released today on our website. Turning to operations and as reflected in the press release, our results for the fiscal year, unsurprisingly came in below what we had expected at the beginning of the year. Given the circumstances, maintaining Greenbrier's profitability during the second half of our fiscal year is a considerable accomplishment. Recall that our industry was heading into a weaker period prior to the pandemic suffering from the effects of railroad operating initiatives like PSR, lower oil prices and a sector, a diminishing of demand. In a way this was a blessing because we already had begun prior to the pandemic to reduce our production capacity and to right size our workforces and overhead costs to cut capital and so on at the start of our fiscal year. When the potential impact of the pandemic became apparent in March we took a series of decisive and prompt measures to protect the enterprise and ensure Greenbrier could attain the strongest possible financial position. Building a flexible capital base to weather an economic crisis of unknown severity and duration was our first financial priority. We set an ambitious liquidity target of $1 billion which has been achieved and exceeded. We'll continue to monitor that target from quarter to quarter. We significantly reduced operating expenses and capital expenditures. We also temporarily restructured several of our key relationships with partners and suppliers during COVID-19 to create material financial benefits for Greenbrier during the crisis and also to assure them of our long term commitment to our business relationships. Finally, we rationalized manufacturing capacity across our global production networks most significantly in North America. Here in Portland for example we closed our railcar facility while still operating our marine business at Gunderson. In fiscal 2020 we suspended operations on 13 rail production lines and we reduced our total employment bases referenced earlier by more than 6,500 people. Supporting all this we delivered positive operating cash flow of $405 million in the last two quarters of the year which is a significant contribution to Greenbrier's overall financial health. During the second half of fiscal 2020, we completed several commercial transactions at a time when transactions were scarce. We did creative things with technology to adapt. I want to commend our commercial engineering and manufacturing teams on a successful pivot to engage customers with nearly 50 virtual sample railcar events carried out this year. These events enabled Greenbrier to directly connect with customers to meet their needs despite travel restrictions. North American orders for us were lower in the quarter compared to Q3 while still respectable under the circumstances. However, our international presence again complimented North American performance. Orders by units were roughly balanced between North American and European customers with several hundred units in Brazil. We've done well maintaining backlog and strength during the year and the quarter. Our $2.4 billion multi-year manufacturing backlog railcar units continues as a source of cash flow and stability in more challenging times. More important than the dollar amount of our backlog is the type of customer who supports it. Over 90% of our North American customers have an investment grade credit rating. These customers provide our manufacturing facilities with a base load of multi-year deliveries that enables continuous operations and their readiness to scale quickly as demand improves and resumes. The real sector has experienced the far reaching impacts of COVID-19 as all industries have. It is an important and strategic - vitally strategic industry to all economies worldwide. We expect this recovery will be a leading indicator of the broader economic recovery after COVID-19. Subject to course - to the course of the pandemic, we believe our industry to turn the corner in the second half of calendar 2021. And we also believe that a snapback had come very suddenly. This would positively impact our performance in our fourth fiscal quarter and entering into fiscal 2022. Economic uncertainty persists across all our end markets, but there are pockets of recovery in longer-term trends are favorable. For example, there were two significant policy develops - developments in Europe within the last month. First, The EU parliament voted to accelerate greenhouse gas reduction targets and the European Commission and EU transport ministers signed the Berlin declaration to accelerate the growth of rail freight. There are strong reasons for these actions as rail freight consumes one third in the amount of carbon and trucking. So these movements are likely to be replicated around the world and indeed only in the last few days Japan has made major movements to follow suit. Longer term we will keep a close eye on what clean energy will mean to our customers to our industry and specifically to our business. Greenbrier remains in conclusion very healthy despite the market environment. Our leadership positions in the core markets in North America Europe and Brazil remains unchanged. In those three markets, we've achieved material scale and market president - presence on three continents. We're squarely focused on managing our business to generate cash flow to maintain a strong liquidity position regardless of market conditions. We are confident in our ability to do this successfully. We have a seasoned management team who've been through multiple cycles before. As we say out West this is not our first rodeo. We will be ready to respond when the market recovers. When that occurs, well - we will be a leaner company with reduced cost and improved efficiencies. We probably maintain the strongest and most efficient U.S.-located freight rail car manufacturing footprint. We are an American company. Our powerful U.S. presence balanced with our international locations and interconnected supply chains, our assets that make Greenbrier unique. Now, over to Lorie. Lorie?
Lorie Tekorius: Thank you, Bill, and good morning, everyone. Greenbrier performed well operationally against the backdrop of continued industry weakness, a broader economic downturn, and a global pandemic. I'm proud of what we've accomplished and more importantly how the entire company shifted to quickly operating decisively in an ever evolving environment. I'll provide a brief update on the impacts of COVID on our operations in an ever evolving environment. I’ll provide a brief update on the impact of COVID on our operations, our results for the quarter and the year and share some of our expectations for fiscal 2021. On COVID we continue to execute on our COVID-19 response plan, ensuring employee safety and maintaining our essential status in all countries where we operate are our top priorities. Overall we've experienced a low infection rate globally due to strict adherence to protocols and rapid response to outbreaks. As Bill mentioned, we've unfortunately had four employees that passed away testing positive from COVID in the last few months. Our thoughts and prayers are with their families and friends. It is imperative that we not become complacent and continue to focus on employee health and safety and that our rapid response teams continue to perform at a high level to mitigate the potential for any cluster to form within our facilities. We are seeing rising rates of infection in all of our communities need to maintain our focus to navigate the months ahead until some semblance of normalcy returns. Moving on to operations we delivered 5,100 units in the quarter including the syndication of 900 units. We received orders for 2,800 units valued at $250 million resulting in an ending backlog of 24,600 units valued at $2.4 billion. Orders originating from international sources accounted for over 60% of the activity in the quarter. Our North American manufacturing group navigated the shifting landscape well. We continue to build railcars safely and efficiently while maintaining necessary protocols to protect our employees. Rationalization of capacity continued with the curtailment of two additional production lines during this quarter. Greenbrier Europe performed well and continued the improved operational trajectory that began in 2019. Border activity in Europe continues to show strength, tied in with what Bill is talking about and encountered for over 50% of orders in the quarter. In Brazil, border activity started to improve modestly although the country continues to struggle through the pandemic. An economic recovery seems to be beginning, but we have learned the dynamics of recoveries are unpredictable. Our wheels, repair and parts operations were impacted by lower traffic volumes. The team did an excellent job of making operational adjustments to control costs and navigates the lower demand environment while maintaining the ability to respond quickly when activity levels improve. I'd like to point out that on an annual basis for this segment. Revenue decreased 27% compared to 2019 even as profitability increased. This exemplified the significant operational improvements that have occurred particularly in our repair business. The leasing and services group performed well in the quarter despite headwinds faced. Demands with services team continued to grow the business with new customers and implementations occurring steadily throughout 2020. The lease syndication capital markets team had another great quarter generating proceeds of over $150 million on syndication of 900 units. The financial markets continue to be volatile and credit sensitive, but these results are a testament of the strength of our syndication model and investor network. Now, looking forward of this, preserving the near and longer term financial health of the company is imperative. We generated strong cash flow over the last six months and has taken numerous cost reduction steps. We are not complacent about these initiatives. And we'll continue to work hard to ensure our strong liquidity and market-leading position. Planned capital expenditures and manufacturing and wheels, repair and parts will be around capital expenditures in manufacturing and wheels repair and parts will be around $35 million in 2021 a level that support safety and required maintenance. This $20 plus million step-down from our fiscal 2020 levels combined with the $50 million reduction in 2020 CapEx from expectations at the beginning of that year is a $70 plus million benefit to our liquidity. Leasing and services CapEx is primarily discretionary and will be driven by the underlying economics of the leasing activity and opportunities as they present themselves. In the second half of 2020 we reduced selling and administrative expense by $25 million in 2021 we expect an additional $30 million reduction with an annual rate of $170 million to $175 million. This equates to an overall $55 million reduction in spending and benefits the liquidity. We'll continue to flex our North American manufacturing footprint as conditions evolve throughout 2020 we closed 13 production lines and reduced production capacity by almost 40%. As we enter 2021, Greenbrier's North American manufacturing capacity is right sized to weather the current downturn while ensuring the capability of ramping up quickly and efficiently when conditions improve. Looking forward we're navigating a unique challenging dynamic that brings considerable uncertainty. We have an industry downturn that's been exacerbated by the pandemic rising infection rates in all the communities and countries where we operate and a national election with broad ramifications. These factors will likely have a negative sequential impact our results in the first half of fiscal 2021. We are optimistic about a recovery beginning sometime in calendar 2021 which we expect to benefit our fiscal 2022. We've taken the necessary steps to ensure Greenbrier will exit the pandemic economy a stronger and leaner organization, but that doesn't mean it will be an easy next few quarters. As you heard from Bill, we're working to ensure profitability for the full year and still see gross margins in the low double to high single digit range albeit on fewer deliveries in 2021. With that being said we're not providing financial guidance beyond the metrics discussed today. As we gain better visibility or recovery occurs more quickly than anticipated, we will provide incremental expectations that will continue to be regular transparent communicators. Greenbrier remains healthy. Our leadership position in our core markets in North America, Europe, and Brazil is strong. The next several months will require hard work and continuous focus, but this is not the first challenge we faced and it won't be the last. Greenbrier is well positioned for a recovery occurs in our markets. And I'll turn it over to Adrian.
Adrian Downes: Thank you Lorie, and good morning, everyone. As a reminder quarterly and full year financial information is available in the press release and supplemental slides on our website. Overall results were solid in a challenging environment. We were more impacted in the quarter from the industry downturn which has been amplified by the pandemic. Highlights in the quarter include revenue of $636 million and deliveries of 5,100 units. Deliveries included 200 units delivered in Brazil and 900 syndicated units. Aggregate gross margin of 10.5% cost of goods sold included $4.1 million of severance in the quarter. Excluding this activity, aggregate gross margin% would have been 11.2%. Selling and administrative expense of $46.3 million is down approximately 7% from Q3. Both quarters included about $1.8 million of severance expense. The effective tax rate in the quarter decreased to 21% reflecting a partial reversal of the foreign currency related discrete tax item at our Mexican subsidiaries in the prior quarter. Net earnings attributable to Greenbrier were effectively breakeven in the quarter. Excluding approximately 5.5 million net of tax and non-controlling interest or $0.16 per share of integration related and severance expenses, adjusted net earnings attributable to Greenbrier were $5.5 million or $0.16 per share. Adjusted EBITDA for the quarter was $65.7 million or 8.7% of revenue. Full year highlights include net earnings attributable to Greenbrier, of $49 million are $1.46 per share on revenue of $2.8 billion. Net earnings include $8.4 million net of tax or $0.26 per share of integration related expenses and $12.9 million net of tax and non-controlling interest or $0.38 per share of severance expense. Excluding these items, adjusted net earnings attributable to Greenbrier were $70.2 million or $2.10 per diluted share. We incurred severance expense throughout 2020 as we adjusted our workforce in response to the industry downturns and the pandemic. Initially we approached workforce reductions as part of the normal course of business but we were quick to make much larger adjustments across our global workforce starting in March upon the outbreak of the pandemic. Adjusted EBITDA for the year was $310 million or 11.1% of revenue. 2020 was our second highest year ever for railcar deliveries with 21,700 units delivered globally and included syndication of nearly 3,200 units. International deliveries were over 5,100 units with nearly 1,900 units delivered from our unconsolidated subsidiary in Brazil. International order activity accounted for 40% of Greenbrier's new railcar order activity of 16,600 units. Obvious for the year added $1.6 billion to new railcar backlog. In Q4, we recognized approximately $5.2 million of identifiable costs related to COVID-19. These costs included items like personal protective equipment, additional labor expense, cleaning services and additional interest expense more precautionary revolver draw downs. We expect these expenses to continue for the foreseeable future then teaches vital to ensuring the ongoing operation of our facilities and our strong liquidity position. Turning to synergies, we successfully achieved $2.2 million of pretax cost synergies related to the ARI acquisition in the quarter and $14.9 million in the year meeting our previously announced goal. The integration team has done an excellent job in trying circumstances over the last 12 months. We are proud of what has been accomplished so far, but I believe we still have significant incremental value to be realized as we identify and implement additional best practices across our manufacturing network. In the quarter, Greenbrier generated $183 million of operating cash flow reflecting continued syndication activity and efficient management of working capital. For the full year, we generated operating cash flow of $272 million including $405 million $272 million including $405 million in the last six months. Greenbrier’s liquidity at August 31 was $920 million with cash of $834 million and available borrowing capacity of $86 million. With projects being concluded, we exceed our $1 billion liquidity and cost savings targets. While we have built a substantial cash balance over the last six months, we will continue to enhance Greenbrier’s overall liquidity until we have better visibility on recovery.  We have significant cushion in our debt covenants and no significant debt maturities until late calendar 2023. Greenbrier’s board of directors remains committed to a balanced deployment of capital designed to protect the business and simultaneously create long-term shareholder value. Our board believes our dividend programs, enhances shareholder value and attracts investors. Today, we are announcing a dividend of 27% - $0.27 per share which is our 26th consecutive dividend. Based on yesterday's closing price, this represents a yield of approximately 3.3%. With all that has been accomplished across the company and continued vigilance, Greenbrier will emerge from the pandemic and downturn as a stronger company. And we will now open it up for questions.
Matt Elkott: Did you guys say what percentage of your backlog is for fiscal 2021 deliveries?
Justin Roberts: We have not. We did not disclose that at this point. It's a little bit of a fluid situation as some of our multi-year orders have flexibility in when they place it in calendar 2021 at this point. So I would say that a good portion of our backlog will be delivered in 2021, but not a - it's not a linear function at this point.
Matt Elkott: Okay. So I guess the insights you guys have given us so far in fiscal 2021 deliveries that - they'll be fewer than 2020 deliveries, but how much fewer we don't know?
Lorie Tekorius: Again yes, it’s a fluid environment, Matt. And as you know sometimes it's good to have a little bit of open space so that we can take advantage of opportunities as they arise. So to Justin's point most of our customers don't operate on our fiscal year. They operate on a calendar year. So when they pick deliveries is a bit fluid.
Matt Elkott: Yes, that makes sense. And I think you got probably about 1,100 orders - in North America in the fiscal fourth quarter. Can you give us some insights on how order and inquiries have been after quarter end?
Justin Roberts: Let me take that. I think we've had - we didn't announce subsequent orders, but we have had a strong month in orders with about the same level or close to the same level of awards through last week just starting at the 1,100. So we've got some momentum. I'm not sure the 1,100 was typical. These things will go up and they go up and down. But we’ve got a decent pipeline which reflects the same information. I think - that others have - of opportunities, at the pipeline of opportunities which reflects what others have said about their business.
Matt Elkott: Bill, if I may just ask you one quick follow-up on the demand question? We've seen some positive signs as of late, utilization has improved in the last three consecutive months. Rail traffic is finally heading in the right direction mostly intermodal and grain I think. And the industry fleet is on track to actually intentionally decline this year. I guess - what do you think needs to happen. We just need to see these trends continue - for order activity to start picking up or what else needs to happen for us to start seeing green shoots in the railcar industry?
Bill Furman: Yes well, as I really talked about before Matt the - we see green shoots we just always hope they're not weeds, the major drivers that we are watching are the freight cars in storage. We believe there's a new frictional level of storage much like frictional unemployment below which it's hard to go. That used to be around 280,000 to 300,000 cars. Now we estimate it somewhere like 400,000. So with the cars taken out of storage, there has been 75,000 cars taken out of storage in the last couple of three months that storage statistics is something to watch closely. And then velocity is of course something to watch closely. PSR has had a definite positive effect on railroad operating ratios and efficiency. But as traffic comes back as you mentioned a moment ago and it seems to be coming back. It’s important to see whether the speed of trains and the dwell times deteriorate for the rail and of course if they do for every 1 mile an hour it creates - of deterioration in velocity, it creates about 50,000 cars that also is not linear. Those are the two big things. Watch that supplies - that storage statistic continue to watch the traffic and that's why we are fairly certain that in the second half of calendar 2021 we could see an abrupt snap back in demand. This usually happens very quickly. So lastly, you can talk about a K-shaped recovery which might mean for our industry a very rapid top of the cake was almost like a V. And so other businesses from COVID-19; doing so well depends a lot on consumer confidence and many factors. But there's a lot of light in the end of the tunnel, we just hope it’s not a train.
Operator: The next question comes from Justin Long. Your line is open.
Justin Long: I wanted to circle back to the point you made, Lorie, on sequential pressure in the business in the first half of the year to just make sure kind of directionally I understood what the message was. Is that an earnings comment. So we should see earnings down sequentially in the first and second quarter versus what you just posted here in the fourth quarter? But then in the second half of the year there should be improvement and so for all of fiscal 2021 will be profitable, is that the right message?
Lorie Tekorius: I think you picked up on what we were trying to communicate. We are in very uncertain times. The fourth quarter whilst strong was quite challenging. We expect those challenges to continue in Q1 and Q2. There is a lot of different moving pieces that create uncertainty. There are some positive things going on with railcar loadings as Bill mentioned, storage statistics come out every time you turn around it seems. We have a national election. There are just so many different things that are going on that it makes it really tough for us to see over the next six months how things might dramatically improve. But we do believe in the long-term health of the rail freight network and we believe in the strength of Greenbrier and we expect it will improve in the latter half of next calendar year.
Adrian Downes: Look, our management mode right now is simply to preserve our flexibility to come back not cut too deeply into the bone. We've done a great job of sizing the company for the circumstances we're in. We are focused on cash flow, liquidity and getting into that middle 2021 period. We have a lot of things that could cause the snapback for us to be a very quick and a very strong one.
Justin Long: And secondly in terms of the backlog right now, is there some color that you could provide on how that splits out between the different geographies and as we think about North America versus the international business I know there was a gap, a pretty significant gap in the margins there. It feels like that gap has started to close. So, could you talk about how much of a gap still exists today and how do you see that progressing in fiscal 2021?
Adrian Downes: You mean a margin gap or the backlog gap?
Justin Long: That's correct. First question on the backlog, second one on the margin gap North America versus international?
Adrian Downes: Yes, so right now about I would say close to kind of between 25% to 30% of the backlog is between Europe and Brazil. Just as a reminder both geographies have orders that extend out beyond our fiscal 2021 time period. And Brazil actually has orders that extend out into 2023 at this point. From a margin perspective you're right that both other geographies have started to move closer to our kind of company averages. And we do see a little more upside in Europe in the near term although Brazil again kind of - in line with Bill's remarks could respond a little more quickly than anticipated just because there are a number of moving factors and their economy seems to be responding a bit better than expected even just a few weeks ago.
Operator: Our next question comes from Allison Poliniak with Wells Fargo. Ma'am your line is open.
Allison Poliniak: Just turning to Europe which seems to be a growing bright spot there with - it seems like some tighter capacity is driving some to rail in terms of the Europe/Asia route. And you noted some orders there. Could you give us any color, is that just sort of replacement orders today or are you seeing some incremental demand just outside of replacement over in that region?
Bill Furman: We're seeing a lot of intermodal interest over there and other specific car types. We're also seeing the major leasing companies doing making investments more robustly than might have been expected, but you’re right that it is - it’s bright spot in the hope coupled with stronger developing margins in Europe.
Lorie Tekorius: And I would say, I would add Alison as Bill was mentioning in his remarks, there've been a couple of significant policy developments in Europe that is going to push more transportation of freight off of the highways and onto railroads. It is a fairly aged fleet. They do not have all of the reams of information that we have here in North America on the North American fleet, but everything that we read about that fleet is a fairly aged fleet. So there's a lot of opportunities for technological improvements and again that policy push to move freight onto the railroads off of the highways.
Allison Poliniak: And then just turning to your comments on around flexibility to handle what will be an inevitable upside here. You know do you have open capacity and existing lines today where you could kind of eat that up before you have to reopen. And how do you think about that operational upside and your ability to react to that here?
Lorie Tekorius: You know I’d say that our manufacturing group and our commercial group are really amazing in their ability to be nimble and be responsive to our customer needs. There's times when you can look at a production schedule and you think that it's full for six months and if we have a customer that comes up with something it's amazing how we can make modifications to production rates or how we are producing railcars to make space. That being said, having steady production is also how we strain efficiency out of the manufacturing process. So we do have some open space on existing lines as we look at our fiscal 2021 and if there was a need in an area where we didn’t have space, I have all the confidence that our team would figure out a way to be responsive to that demand.
Bill Furman: Yes just to supplement that very quickly, Allison, it’s a good question. We have considerable extra capacity. We maintain our core capacity in the United States. ARI is doing very, very well. It’s just principally an issue of what car type might be involved. We closed lines partly because demand is not there for a specific car type. So, we have adequate capacity - to cut back very nimbly. And we have capacity which we could increase on the lines we’re running. So, we've got a lot of flexibility as Lorie is saying. We're in a very, very good position because of our capital base. We have surplus capital equipment as we close some facilities. We've got equipment we can move. So, I think that we can come back without a lot of capital investment other than working capital.
Operator: Our next question comes from Ken Hoexter with Bank of America. Your line is open.
Ken Hoexter: So Lorie or Bill you talked about the syndication. I think Lorie mentioned $115 million on 900 units or about $127,000 per car which is obviously better than the $89,000 in the new backlog. Is that mix, is that the scale that we should expect that pricing has gone down at this point in the cycle to see the backlog get filled? Maybe you could just kind of talk a little bit about that. And where are you seeing demand on the domestic side is that, I don't know, is it center beams maybe talked about what you're seeing on the domestic side?
Lorie Tekorius: So to the first question I would say, yes. It does have to do with mix. As you are aware, we build the railcars that were syndicating. We sometimes can be built in those six to nine months ahead of time, so it definitely has a different order profile and mix plays into that. The other thing that provides the value and which is why syndicate, as we do have considerable lease origination expertise. And so, when you're selling or syndicating that railcar, it's not just the railcar, but it's also the underlying lease and cash flow stream. So that is part of the value that our capital market team brings to the overall Greenbrier business. So, I don't know that it's a perfect comparison. There is probably no such thing as a perfect comparison to look at the ASP and syndication to the ASP in backlog or even orders. That being said, there has been considerable pressure on pricing here in North America with demand being down as much as it is and the overall economy so that it’s a combination of mix and pricing pressure. So, I'm sure there's something you'd like to.
Bill Furman: No, I think you covered one of the questions very well. And nice to see Bank of America here on the call, thank you yes. The second question I think you ask was what areas there may be some strengths. There is - it’s surprising how often we have to remind people - our railcars just 25, 30 types of railcars, so it really is important question. We are seeing pockets of interest in a number of areas and we would say that large covered hoppers, grain and plastic. Although I think the plastic pellet market is going to peak out here. Scrap guns, chemical and replacement, tank cars. Intermodal may gain momentum as referenced in some of the questions if volumes continued to grow their storage statistics on - you have to watch those closely because they include some inefficient cars like spying cars. So, we might get to a point where intermodal will be required again. And of course the perennial boxcar or the haiku boxcar replacement demand. So, there's a number of these areas, the things that are not likely to be demanded in the future of coal cars and for the immediate sand cars. We had to do a lot to work with our customers in the sand market. We're happy about where we got that sand portfolio in our leasing business and the cars we manage. And we only have an island fleet of us 1,200 sand cars. So those are the - that's the activity when we talk about green shoots. Those are some of the car types that we see.
Ken Hoexter: Yes thanks Bill. Hopefully you'll be available on the call all the time, but - you did actually center beams is that - as far as products picking up beyond targets or no?
Bill Furman: Of course products is picking up, I wouldn’t say there's going to be immediate demand for center beams but there could be surprising how fast this can snap back for the - due to the reasons that you know very well having followed for years. It is - it’s just that when it will happen. I don't have any doubt it will happen. And when it happens - we and I'm sure - other colleagues in the industry will be able to jump on it and function quite well at least talking about the major builders.
Ken Hoexter: And then my last question, just the margins in manufacturing. If rates for backlog are coming down I guess Lorie it's always tough because we don't get the breakdown of car types order or if there is a difference, but should that - should we anticipate that margins also are under pressure to that similar scale or is there any way you can walk us through on how to think about margins into the next year?
Adrian Downes: Yes Ken, this is Adrian. And Lorie talked about margins for next year being in the low double-digit, high single-digit region. We were at 11% excluding severance activity in Q4. So I would say flattish to modestly down, is what we're looking at on the margin side.
Ken Hoexter: Okay thanks, Adrian. And Adrian you're talking about manufacturing right, not overall?
Adrian Downes: Yes.
Ken Hoexter: Okay.
Adrian Downes: And in our wheels repair and parts business, we have seen margins improve particularly as we've made operational improvements on the repair side. The leasing margins depend on whether we've got external syndication activity which tends to make those margins volatile.
Operator: And our last question today comes from Steve Barger with KeyBanc. Your line is open.
Steve Barger: Thanks for taking the time today. Just looking back to the last production decline in FY 2017 quarterly deliveries averaged 4,000. One quarter got down to 2,600. Should we be thinking that's the comparable range for the first half of 2021?
Adrian Downes: I would say, I think that that is a reasonable way to look at it and probably part of this is a lot of it is driven by kind of our syndication activity just when we're producing out of the balance sheet and then when syndication actually occurs off of the balance sheet, but we do see a step down from our fiscal Q4 delivery activity.
Steve Barger: So Justin, you mentioned two numbers, 4,000 and 2,500 are you making your remarks on the range or 4,000?
Justin Roberts: I would say in the range between the two numbers Steve but that’s right.
Steve Barger: And then just to go back on the margin again just thinking the manufacturing margin. Is that with the step down in production and just thinking about that in the context of all the cost actions you've taken would the margin that you put up in 4Q for the manufacturing segment be achievable or is that more aspirational?
Lorie Tekorius: I would say that the Q4 manufacturing margin is definitely achievable 9.4% and that includes severance costs $1.8 million I think the severance cost.
Steve Barger: Yes.
Lorie Tekorius: So definitely that's what we're targeting from you know high single-digit to low double-digits.
Steve Barger: So, the right sizing that's taken place already is, should be enough to allow that to happen even with the sequential step down in deliveries?
Lorie Tekorius: All things being equal.
Steve Barger: Got it.
Bill Furman: Right unless there is a some dramatic change for the worse. We think we are over the right sizing. We still have some pockets maybe in Europe that we need to address, but we just don't want to. It's more of a manpower that crap's people. We don't want to lose our capability to bounce back very quickly. I've been in this business a long time as you know. I know that it can be gloom and doom one day and also can boom the sun comes out and things come back. But I sure don't think that's going to happen for many months, many quarters and we've got to be cautionary about COVID-19. We're not out of this yet. Those who are saying we're out of it and it's going be great. It's not going to be great. It's going to be - people are going to continue to die at a high rate in through the winter until we have some ability to address it. And that addressing of it is going to come through treatment probably not a vaccine that is universally going to be a panacea. So, we just are being cautionary and we can't predict the future. I think that's one of the things you're hearing from us is that we have - we want to be sure we're strong that we are able to come back and when the market comes back we'll be back. And meanwhile we'll make adequate cash - really good cash flow and adequate - results in the circumstances.
Steve Barger: No I think, I agree with all that. So thanks for the time today and that's all I have.
Bill Furman: Thank you very much. We appreciate you joining us. Thank you very much for your time and attention everyone. Have a great Friday and a great weekend. Thank you.
Operator: Thank you for joining today's conference. You may disconnect at this time. Once again, thank you for joining.